Disclaimer: *NEW* We are providing this transcript version in a raw, machine-assisted format and it is unaudited. Please reference the audio for any questions on the content. A standard transcript will be available later on the site per our normal procedure. Please enjoy this timely version in the interim.: 
Operator: [00:00:04] Hello, everyone, and welcome to the second half and full year fiscal 2020 earnings conference calls for scalps and corporations. Please note that today's conference is being recorded at this time. I'd like to turn the call over to Mr. Rhon Galicha, CLPS investor relations for opening remarks and introductions. Please go ahead.
Rhon Galicha: [00:00:27] Thank you, operator. Hello, everyone, and thank you for joining us on today's call. CLB incorporation analysis, second half and full year fiscal 2013 financial results. Yesterday's earnings release is now available on the company's higher website at W Galicia w that hired the CBS Global dot com. Before we continue, please note that our discussion today may include forward looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward looking statements involve a number of risks uncertainties. As such, our results may be materially different from the views expressed today. Further information regarding these risks, a certain base assumptions and other factors that could affect our financial results is included in our form to have filed with the U.S. Securities and Exchange Commission and other documents filed with the U.S. FEC. In that respect, I would like to read the following disclaimer applicable to such statements. Third of the statements made in this discussion are our forward looking statements within the meaning and protections of Section 27 of the Securities Act of 1933 as amended and Section 21 of the Securities Exchange Act of 1964 as amended. Forward looking statements include statements with respect to the company's beliefs, plans, objectives, goals, expectations, anticipations, assumptions, estimates, intentions and future performance, and involve known and unknown risks, uncertainties and other factors which may be beyond the company's control and which may cause the actual results performance, capital ownership or achievements of the company to be materially different from the future results, performance or achievements expressed or implied by such forward looking statements. Also, statements attributable to us or expressed qualified in their entirety by the cautionary note, including without limitation, those risks and uncertainties related to the company's financial and operational performance in the second half and full year of fiscal 2020. [00:02:25] Its expectations of the company's future performance, its preliminary outlook and guidance offered in this presentation, as well as the risks and uncertainties describing the companies most recently filed ASIC reports and filing such reports are available upon request from the company or from the Securities and Exchange Commission, including through the Internet website at www.forward-looking.com. Ask that we have no obligation and do not undertake to update, revise or correct any of the forward looking statements after the date here of, or after the respective dates on which any, any such statements otherwise are made. All information provided today is as of the date of this call, as the OBSS does not undertake any obligation to update any forward looking statements except as required under applicable law. With respect to any Mankowitz measures discussed during today's call, the company reconciliation information related to those measures can be found in the earnings release issued yesterday. Now allow me to introduce the management team on the call today, Mr. Raymond Lynn, chief executive officer and director of CBS, will start off the call with a review of recent company developments and operating results, followed by Meece, real acting chief financial officer of CLB, who will discuss financial results in more detail. Please note that all lines have been placed in news to prevent background noise following managements prepared remarks. We will open up the call for a Q&A session. Mr. Henry Lee, the company's chief operating officer, and Mr. Wilson Nual, executive vice president of CBS, will also join the Q&A session. With that said, I would now like to turn the call over to Raymond. Raymond, please go ahead.
Raymond Lin: [00:04:15] Yes, hello. Thank you, Rhon. Hello, everyone. I want to say thank you for being here on today's call. We are pleased to have you join us for a discussion of our second half and full year results to conclude our results. 20/20 with a solid just of what new intellectual property increased revenue. We surpassed our guidance with lovely seven point seven percent increase, so year 2020 revenue due with our close relationship with city ties and additional international and domestic crimes as a result of the implementation of our global expansion strategy. That's not far off our priority central growth strategy. We further expand our footprint in the Southeast Asia region with accusation of Riddick. That is a Singapore based A. service company, which we integrate along with info get into Singapore. In addition, we have established the obvious California, which is on the U.S. market to support the company business, the OF is just one of our core competencies to has established and critics of this company will. So the increasing demand for credit card service in the financial industry. The revenue from our overseas business increased by one hundred fifty eight point five percent to ten point six million for the year and June 30, L.A. County. When I in the individual that the Company Research and Development Center is a committed to the research and application of innovation technologies which enable digital transformation for ourselves and our clients. We have test pilots are cutting edge technologies, including the tau migration, robotic process, automation, data and backchat. This year, we pushed our globally competitive business for the industry cooperation with investment. Our partnership with established financial company in China naturally benefits us. We love each other. Cutting edge innovation and research, funded financial technologies, industry. In terms of strategic investments, we have less than 10 percent ownership stake. Sinjin watching robotic company and one local one. [00:07:47] Also, software technology company. To our biggest industry vengefully, our talented but pivotal role in our society. So our GDP talent training program, we continue to focus on conducting thousands of training hours to develop our talent and retrain our human capital. We have also cooperated with the Technological and Higher Education Institute of Hong Kong to boost its grade program in information technology, aiming to maintain a sustainable pool of new recruits and young talent in its. Is that the reason covid-19 handyman jobs lost strategy remain under threat? With reference to our fiscal 2020 financial outlook, we surpassed our target sales goal, increasing off thirty seven point seven percent and achieved a profitable net income. In addition, we enhanced support for our kind in the health care industry and remain well equipped to meet the province of Aceh during this challenging time. [00:09:33] So we continue to make long term investments to support our continued golf. We remain optimistic about our future as we go horizontally and basically expand our global footprint and market share, focus on digital transformation and create value for our shareholders. Now, I will turn the call to over the acting CFO, Rui Yang, who is on discuss our financial results from the second half and full year off, please. All right. Go ahead.
Rui Yang: [00:10:21] Thank you very much. Hello, everyone, and thank you for being here for today's call, I will now provide an update on our financial performance from the reporting here that our numbers provided in US dollar terms and that our comparisons are made a year over year basis. First, I will provide an overview of the second half of fiscal 2020 results in the second half of the Skullcandy country. Our revenues increased by twelve point seven million, offsetting seven point two percent to forty six point eight million from thirty four point one million. Increase in revenue was mainly due to an increase in revenue from Piki Consulting Services up to the Revenue Service in line and consulting as a solution and others. Revenue from I.T. Consulting Services increased by thirteen point five million of 14 to a upon three percentage fourteen point five million and accounts for ninety seven point as a percentage of total revenue from thirty two million for making three point seven percentage of total revenue. The increase was due to increase the demand for the company's I.T. consulting services from banks and other financial institutions, primarily from existing clients, revenue from customized I.T. solution services because that they were millions of working file point four percentage to one point one million to one million. The decrease was primarily due to the increasing demand from existing client. Revenue from other services increased to zero point two million from zero point zero four million. And that enabled by geography revenue generated outside of Manila. [00:12:34] China increased by one hundred and ten percentage to six point three million in the second half of fiscal year 2020 from three million in the prior year period. The increase in revenue generated outside of China reflects the company's successful and continuous global expansion strategy. Gross profit increased by three point two million of twenty five point one percent to thirteen point seven million for 2016. Gross margin in the second half of fiscal tightening economy because to thirty three point six percent, compared to thirty six point nine percentage in the prior period. The decrease in gross margin was primarily due to the increase in academic probation costs during the Capitán nineteen outbreak. As for operating expense, saving and marketing expense increased by zero point five million also and so on, the percentage to one point seven million from one point two million. The increase was due to the increase of salary, expense and new software enabling the implementation of the company's global expansion strategy. Research and development expense increased by zero point five million nights on the same percentage to 5.1 million from four point nine million. The increase primarily resulted from the establishment of the establishment of four new research projects and the company's continued and efforts big data launching and artificial intelligence general and only 3Q expense increased by the open to a meeting of the seven percent to eight percent lobbying from eight point two million. After excluding the impact of non-cash share based compensation, expense, non-cash general and 3Q expense and caused by zero point four million eight percentage so far. [00:14:52] Policy remaining from far from streamlining the increase in number of minority expense was primarily due to an increase in administrative personnel and the enemy related expense. As a result of this expansion as a result of the operating income was zero point zero for me compared to a loss of one point. Eight million operating margin was 1.0 percentage compared to Nekesa 5.2 percent in the prior year period, subsidiaries and other income increased to one point one million from zero point one million. Provision for income taxes increase to five point five million to zero point for me, mainly due to that reduction in recoverable losses for some of the company's subsidiaries, net income for zero point eight million from a loss of one point seventeen. So net income was due to the decrease in non-cash share based compensation expense. After excluding the impact of non-cash a compensation expense, no net income increased by 2.5 million of one hundred ninety six point seven percentage to three point seven million from one on the remaining. After excluding the impact of non-controlling, increase in net income attributed attributes to a CLP incorporations shareholder. You've spoken half of these calls on. The economy was zero point six meetings of zero point zero for basic and the noted earnings per share, excluding the impact of non-cash share based compensation expense. No net income attributable to a obvious thing. Corporations shareholders in the second half of fiscal 2014 was repond family of SailPoint to three basic and diluted earnings per share. [00:16:59] This is compared to no net income attributable to incorporations shareholders of one point for meeting our zero point zero eight basic and the noted earnings per share. And now I will provide an overview of full year physical sanitising results for the year only the second 20-20 revenue revenues increased by twenty four point five million of thirty seven point seven percentage to eighty nine point four million from sixty four point ninety. About the remnants of my revenue from Ikki Consulting Services increased by twenty five point three million forty one point one percentage to, say one on one meeting, and accounted for nineteen sixty seven point five percentage of total revenue revenues from customers. Solutions such as the sequester by 1.0 million on thirty nine point three percentage to one point eight million three minutes. Revenue from other services increased by thereupon the streaming of two hundred nineteen point of no percentage to zero point four million from the up on the one meeting above the revenue side of the FAA revenue generated assessment. And the China increased from four point 4.5 million to ten point six million gross profit increase by seven point three million of thirteen one percentage thirty one point one million from twenty three point eight million. Gross margin decreased to thirty four point eight percentage, compared to thirty six point six percentage. The increase in cost was primarily due to the increase of FEMA operational costs during the covid-19 operations and for operating expense selling and marketing expenses increased by zero point nine million of fourteen for voting on the full percentage. [00:19:19] So three point one million from two point two million reserve and direct from the expense increase about 2.5 million of thirteen point eight percentage, ten point four million from eighteen in general and only expense because the by one point one meeting fixed percentage. So sixteen point three million from seventeen point four, meaning the increase was primarily due to the decrease of three point two million in non-cash based compensation expense after the destruction of non-cash share based compensation expense. No general and only trade excess increase the base stop on one meetings all twenty point five percentage to twelve point six million from ten point four, meaning the increase in income tax on the new trading expense was primarily due to an increased. On schedule, Preston and the team and related expenses as a result of business expansion as a result of about operating income was one funds remaining compared to a loss of three point eight million in the prior year period. Operating margin was one point four percentage compared to enact to our point eight percent tuxedoes and other income increased to draw upon the family. From now on, the family provision for income taxes was zero point eight million compared to their Pontelli malaise. Due to the reduction of recoverable losses for some of the company's subsidiary, net income was three on one million, compared to a net loss of three point four million in the prior year period. [00:21:13] The increase in net income was due to the equity market share based compensation expense. After excluding non-cash share based compensation expense, no net income increased by three point of family. All can say on the seven percent to seven point one million from three point six million after excluding non-controlling increase net income attributable to a significant corporation shareholders for the year. And this starting 2011 was two point nine million are very open to basic and the noted earnings per share after excluding the impact of non-cash share based competition expense non-cash net income attributable to shareholders for the year and to a certain company twenty six point nine million or zero point the fourth seven basic and diluted earnings per share this year, compared to no net income attributable to CPS incorporation and shareholders of three point seven for thereupon the 270 basis and diluted earnings per share in the prior year period. As of 2013 2020, we had the cash and the cash equivalents of twelve point seven million, compared to six point six million as of June, a starting in nineteen. Looking forward for fiscal year 2021, they provided a total sales growth in the range of premix like 13 percent to 13 full percentage and no net income growth in the range of approximately 15 to 20 percent if they won percentage compared to fiscal year 2020 financial results. This concludes our prepared remarks. Operator, we are now ready for questions.
Operator: [00:23:17] Thank you. If you wish to ask a question at this time, please signal by pressing one on your telephone keypad. GS share the mic function on your telephone is switched off to know your signal to reach our equipment again. She's pressed one to ask a question. We pause for just a moment to know what an opportunity to the questions. And once again, that is one, if you wish to ask a question. We can now take our first question from Peter Wuv, private investor, please go ahead.
Unidentified Analyst: [00:24:12] Ok, first of all, congratulations on your new financial year, and I would like to know, what about no searching going forward and what is the obvious comparative advantage compared to other competitors?
Raymond Lin : [00:24:29] Ok, tell Julia question, Mr. OK, CLB strategy is America in the night we were waiting for what our strategy in the horizontal for the global extension, we were both to the set up the new company and what it the be or to. The Ammonite Equitation, who acquired some institution we were using this to attacking the nuclear extension individually, we continue to enhance the idea of this as an ideal solution for our future and potential globally. OK, and we also have the added innovation where everybody in the company we invest in the cutting edge technology, just like the robotic automation data and induction and count and one of our drivers in the future and the future that we review the operation, achieve our goal. Also, we will attract qualified people and people in the in the market to make us stronger in the future. And for the next question is how the companies we have an advanced advantage. OK, so this tells us about this crisis in the Global Times in the first class in the world. But this is good for us. And the second advantage is that we have the human capital base because we have many, many, many, many professionals. Stock can be a good English and Chinese is a two by language people. And also we have a large pool of talent in the bank and in the banking, wealth management and e-commerce. And I've noticed that in this area. And if we have a good management team, most of the manager, what you have to I is over the five years, maybe 10 years in this area, they would know how to maintain the operation in progress. They would know how to do the work for the company. The final advantage is we have the exact things. The people want it to go to the people. The key is the talent pool that we can we can train the new people back into this industry. And after that, we continue to present who could be a higher level this and make.
Unidentified Analyst: [00:28:32] Ok, thank you. Thank you for and the other question. Can't you tell me how cool was that? You obviously.
Raymond Lin : [00:28:49] Ok, thank you. There can be stuff for the night, you know, and it's our business because, you know, the I.T. job I work, most of the staff can be what one? And the second thing is the China we cover is a very flat in war. So at this time, most of our staff have been normally what our time. So we can see more and more people coming on the show. Thank you. [00:29:35] Thank you.
Operator: [00:29:41] Now, you can now take our next question from Mary Lou, private investor, please go ahead.
Unidentified Analyst: [00:29:54] Hello. My question to the manager is a total revenue stream in the for both.
Rui Yang : [00:30:20] High up at me, yes, and above our looking forward for fiscal year 2021, we've had total sales growth in the range of products like 13 percent to 35 percent and through our growth strategy. We are confident that we will achieve our growth within the next year to. And also about this forecast just reflects the company's current and the preliminary bills, which are subject to a change and appropriate risks and uncertainties, including, but not limited to potential accounting adjustments to reject acquisition, as well as various risks and uncertainties facing the company's business and operations as identified in our public fighting.
Unidentified Analyst: [00:31:29] So thank you. That's all set for your questions. And thank you. And also, you did very well and well, what is the reason why your gross margin decreased in the second half and the full year of physical training also?
Rui Yang : [00:31:53] Thank you. Thank you for your question about the decrease in gross margin was primarily due to the increase in the Democrat provision costs during the covid-19 outbreak and as a health and safety of our employees and their families as well as our customers and business partners. I'll be and then we'll continue to be our top priority. We have taken progress. They as cautionary measures to ensure that our staff are protected against the cold weather, like we are doing our best to optimize our operations. Yeah, so that's a reason for our gross margin.
Unidentified Analyst: [00:32:50] Oh, OK, great, thank you. And I have another question and are about to do or can capture over the company and do the Manchanda sufficient founder and CEO, he had anticipated the need to raise more cash in the near future. Thank you.
Rui Yang : [00:33:19] Ok, about this question. As of June 13, 2012, the company had an aggregate of cash and cash equivalents and short term investment of thirteen point two million compared to eight times meaning as of June 13, 2019. The cash on hand is enough for all the operational. However, however, our global expansion strategy. We may need to raise capital for funding in the future. Yeah.
Unidentified Analyst: [00:33:57] Thank you, Ms. Thank you. Thank you very much.
Operator: [00:34:05] This concludes Q&A. I would now like to hand the call back to management for closing remarks.
Rhon Galicha: [00:34:16] Remet, please go ahead for the closing remarks, but one more question, I thank you again for joining us on today's call.
Raymond Lin: [00:34:32] And I we appreciate your Remit ongoing support. We look forward to updating you on our progress in the in the weeks and months ahead as everybody. Thank you.
Operator: [00:34:53] This concludes today's call. Thank you for your participation, you may now disconnect.